Operator: Good day ladies and gentlemen, welcome to the Compañía de Minas Buenaventura First Quarter 2018 Earnings Conference Call. At this time all participants are in a listen-only mode. Please note that the call is being recorded. I would now like to introduce your host for today's call, Mr. Rodrigo Echecopar, Investor Relations. Mr. Echecopar you may begin.
Rodrigo Echecopar: Good morning and welcome everyone. Presenting on the call today is Mr. Victor Gobitz, CEO. Also present and available for your questions are Mr. Leandro Garcia, Vice President and CFO; Mr. Gonzalo Eyzaguirre, VP of Operations; Raúl Benavides, VP of Business Development; and Alejandro Hermoza, VP of Sustainability; and also is present Mr. Roque Benavides, our Chairman. And as we normally do we will be making certain forward-looking statements during the call. Such statements are based on assumptions of future events that may not prove to be accurate unless such being both risk and uncertainties. It is therefore possible that the actual results may materially differ from any forward-looking statements that we may make today. We write to you on our cautionary statements in the press release we filed on April 26, 2018. With that I will now turn the call over to Mr. Victor Gobitz, CEO. Victor, please go ahead.
Victor Gobitz: Thank you Rodrigo. Good morning to all and thank you for attending this conference call. We are pleased to present the first quarter of 2018 results of Compañía de Minas Buenaventura. We have prepared a short PowerPoint presentation which is available in our webpage. Before we go further please take a moment to review the cautionary statement shown here on slide 2. Moving on to slide 3, highlights were as follows; in the first quarter of 2018 EBITDA from our direct operation was $97.6 million, a 20% increase as compared to $81.3 million reported a year ago. Adjusted EBITDA including our associated companies decreased 3%, $173.7 million in this first quarter compared to $179.2 million a year ago. Adjusted EBITDA has been affected mainly by the results coming from our affiliates. Total attributable gold production in this first quarter was 147,507 ounces; a 9% increase compared to a year ago. Total attributable silver production in this first quarter was 7.2 million ounces, a 17% increase compared to a year ago. Buenaventura refinanced its syndicated loan, extending the maturity until 2022 with an interest rate which has been reduced to Libor plus 2.15%. All the other terms remain the same. The net debt over EBITDA ratio was reduced to 1.2 times. The de-bottlenecking program is in line with schedule. In page 13, we will discuss more in detail. We remain confident in achieving our production guidance for all of Buenaventura’s direct operations as was provided at the beginning of the year. Regarding our Greenfield projects Trapiche, San Gabriel, and Yumpaq are progressing according to the plan in order to be developed in the future. At Cerro Verde, a dividend of $200 million of which $39 million are attributable to Buenaventura was declared in the last Annual General Meeting. This dividend was paid on April 24th. Moving on to slide 4 financial highlights, total revenues in these first quarter were #317 million which is 14% higher in comparison to a year ago. EBITDA from our direct operation was $98 million which is 20% higher in comparison to last year. EBITDA including our affiliates was $174 million compared to $179 million in 2017. And our net income in 2018 was $28 million compared $71 million a year ago. Moving on to slide 5, we are showing our strategic map where we use as usual the capital B from the logo of Buenaventura as a visual index for the following slides. Here we would like to point out in the right part of the slide that our ratio of net debt over EBITDA has been reduced to 1.2 times. Moving on to slide 6, attributable products, total gold equity production in this first quarter was 148,000 ounces, 9% higher in comparison to a year ago. By this we have mitigated Yanacocha's production decline. In terms of our direct operation we produced 100,000 ounces which was 32% higher in comparison to a year ago mainly explained by the new production coming from Tambomayo. Silver equity production for these first quarter was 72 million ounces which is 17% higher in comparison to a year ago based on the better results coming from Uchucchacua and the new production coming from Tambomayo. Copper equity production was 28.1 thousand metric tons, 7% lower in comparison to a year ago. Finally in this first quarter more than 16,000 metric tons of zinc were produced, 15% higher in comparison to a year ago. This increase was mainly due to Uchucchacua higher production. Moving on to slide 7, as you can see that consolidated volumes sold from our direct operations significantly increased in the case of gold, explained by more volume sold coming from Tambomayo and in the case of zinc it is explained by more volume sold from Uchucchacua. Moving on to slide 8, the all in sustaining cost from our direct operations in this first quarter was U.S. $758 per ounce of gold, 12% lower in comparison to a year ago mainly explained by better results from the Uchucchacua mine. The cost applicable to sales in this first quarter were as follows, for gold U.S. $788 per ounce which is 2% higher than a year ago. For silver, U.S. $9.76 per ounce which is 16% lower than a year ago. For zinc U.S. $0.88 per pound which is 7% lower than a year ago. In the case of copper a cash cost was U.S. $1.56 per pound which is 12% higher in comparison to a year ago. Moving on to slides 9 and 10, you can see the volume of gold sold and the cost applicable to sales for each one of our gold assets. At Orcopampa cost applicable to sales was $864 per ounce, an increase of 10% in comparison with a year ago mainly due to lower volume sold. Tambomayo began a major production in August 2017 and this first quarter -- and this year 2018 will be Tambomayo's first full year operating a total capacity and production will be in the range of 110,000 to 130,000 ounces. Moving on to slide 11, you can see the volume of silver as well as the cost applicable to sales for each one of our assets, part of our portfolio. Uchucchacua cost applicable to sales was $9.7 per ounce, a decrease of 11% in comparison with a year ago mainly due to zinc and lead volumes sold. Moving on to slide 12 you can see the volume of copper and zinc sold as well as the cost applicable to sales for each of the assets part of our portfolio. Moving on to slide 13, the debottlenecking program which we are implementing in our 4B [ph] underground mines is in progress and results are expected to be seen gradually. The debottlenecking program is meant to improve efficiency, reduce costs, and also increase our capability for more aggressive mine development and restoration programs in order to generate more visibility for our ore results. We want ores to increase our life of mine. We are providing an updated table with our main project of this program. Moving on to slide 14, here we present in snapshot the maturity of our portfolio or pipeline of projects. Here it's important to highlight the following, in the case of Trapiche we have started the prefeasibility phase to perform [indiscernible] defined by size, start environmental baseline and reinforce social relationships. And in the case of San Gabriel we're updating the geological geotechnical models in order to increase its profitability. Moving onto the slide 15, thank you for your attention, I will hand the call back to the operator to open the line for questions. Operator, please go ahead.
Operator: [Operator Instructions]. Our first question comes from the line of Botir Sharipov with HSBC Global Asset Management. Please proceed with your question.
Botir Sharipov: Hi, it is HSBC Securities. Victor and the team good morning and thank you for taking my questions. I have two questions, one is on El Brocal, we saw the zinc production increase quarter-to-quarter where copper production declined and yet you guys are working on the expansion project there, so I just wanted to see if you could shed some light on why that zinc production went up and copper went down and what we should expect going forward this year? And the second question, how do you see production and operating costs evolve at your direct operation as the year progresses?
Victor Gobitz: Good morning Botir, thank you for your questions. Regarding El Brocal, as you know we have two different assets an underground mine which is Marcapunta and the open pit called also Tajo Norte. So we have in El Brocal some flexibility in terms of production. We are taking advantage of this flexibility and probably as you know us well, zinc, lead, and the treatment charges have changed in favor of the mining producers. And we are -- in this first quarter we take advantage of this equation in order to move the rampart of the underground mines. We keep our production guidance in terms to increase and to achieve 30,000 tonnes per day production coming from the underground mines but as I said we are taking advantage of this situation. Regarding your second question we also said that in this conference call that we will achieve our guidance in terms of production and also in terms of profitability for each one of our assets.
Botir Sharipov: Thank you very much.
Victor Gobitz: You are welcome.
Operator: Our next question comes from the line of Thiago Ojea with Citi. Please proceed with your question.
Thiago Ojea: Thanks and good morning everyone. My questions are related to Cerro Verde, if you can give a little bit of more color on the decline of production and what you believe that would be the average rate for the remaining of the year? And my second question would be around the CAPEX, CAPEX was really low at only 22 million in the first quarter. You have a guidance of 220 something like that. So would your guidance change, are you concerned with the evolution of the projects given the lower CAPEX spent? Thank you.
Victor Gobitz: Thank you Thiago for the question. Regarding Cerro Verde and alone let me explain in this first quarter there were some lower production in the first two months, in January and February. But clearly a long march Cerro Verde achieved a monthly record. They produced more in average 400,000 metric tons of ore per day and additionally with higher metallurgical recovery. So Cerro Verde has confirmed that they will achieve the annual production that was forecasted. During January and February they also treated some ore mineral with some high content of oxides. That means lower metallurgical recovery. But just to reinforce the concept we don't see any problems in the production and results coming from Cerro Verde. Regarding your second question, regarding the CAPEX for this year, Leandro García our CFO will answer it.
Leandro García: Hi Thiago. We maintained our guidance for the CAPEX. Remember our first quarter always here in Peru where we have the rainy season, so sometimes all the budget, the highly expenses in CAPEX begins in the second quarter. But we are looking in our guidance as we are going to fulfill all our CAPEX investment in December 31st.
Thiago Ojea: Thank you.
Operator: Our next question comes from the line of Tanya Jakusconek with Scotiabank. Please proceed with your question.
Tanya Jakusconek: Good morning gentlemen, thank you for taking my question. I wanted to come back to the debottlenecking program and we really appreciate the slide you put for us on page 13, but can we relate what you have done in progress dollar wise, I think the target had been Q2 2018 to do $15 million to $25 million and improved EBITDA, can you tell us how much of that you achieved in Q1?
Victor Gobitz: Okay, good morning Tanya and thank you for the question. Regarding the debottlenecking program, if you have seen the page 13, we have based on this program in our four main underground mines. And clearly for example in the case of Tambomayo, we are fine tuning the progressing plan. We expect to achieve the result, this increase in terms of gold recovery at the end of this second quarter. So, that's in terms of the results that we expect to improve but in terms of progress specifically in that project, the progress is in the order of 90%. But probably one of the most important. In the case of Orcopampa, one of the oldest underground mines, we are improving the infrastructure, in this the whole system. And we expect to complete this program at the end of the year in the fourth quarter. And also we here show you that the cost savings is in the order of U.S. $2.15 per ton for these underground mines is significant reduction. And the progress is in the order of 83%.
Tanya Jakusconek: No, I understand that part, I can see all of those numbers in your table, I just can't relate to see how much of that 15 million to 25 million you have achieved year-to-date. Maybe you haven't yet because these things are -- have not been completed. Maybe the 15 million to 25 million is expected in the second half of the year. I am just trying to understand when if anything is coming?
Victor Gobitz: Yeah, part of this value will be captured in the second semester of the year. But clearly we would prefer to analyze annually this program. As you know it’s a program with three years of schedule.
Tanya Jakusconek: Yes, no, no, and I think for 2018 it was 15 million to 25 million. So is it fair to assume that we will capture some of that in Q2 but the majority of the 15 million to 25 million come in Q3, Q4?
Victor Gobitz: Yes, right.
Tanya Jakusconek: Okay, alright. Maybe I can move on to just a little bit, thank you very much on giving us a little bit of update on Trapiche and San Gabriel, can you let us know maybe on San Gabriel, maybe Raul is there to give us an update on what exactly were the geotechnical and geological models that are being updated to increase profitability, what exactly are you looking at in terms of changing the scope of the project?
Raúl Benavides: Hello Tanya. Well the idea is really we have started a drilling in San Gabriel in order to have a better understanding of the rock stability. These will generate a better design for these folks so that we can really be sure and all this is part of derisking projects. As you know we have been reviewing this project with [indiscernible] guided the book about projects, mining projects and we are monitoring the same. So, we need to derisk the project before getting into more complex situations. So we prefer to have better information in order to go ahead afterwards.
Tanya Jakusconek: Is the drilling campaign a tighter drill spacing because you don't have a good handle on maybe the faulting in the area and then ultimately to get an appropriate mining method for the underground?
Raúl Benavides: Let me play you, what we have is we have a very good drilling with vertical or sub vertical drilling. But we do not have a horizontal drilling cutting all these vertical structure because mainly the deposit is embedded. So what we would like to do is to have all these folks very well defined so that we can really make a good design on the stokes. See what happens in underground mines is that you get -- of surprises. So that's the issue and it is part of the derisking process. I mean when you go to more mining what we used to do in the old times is just go ahead and see what we will get. Here what we want to do is completely be sure that we are not exposing people and the costs are not going to go up.
Tanya Jakusconek: Okay, and what is the size of the drill program dollar wise and footage wise and when will you have all of this completed?
Raúl Benavides: Our budget for this year in San Gabriel is $9 million and the drilling is going to be I think 5000 meters. And with that we will be ready.
Tanya Jakusconek: Sorry, when is it going to be completed so that we will get an update?
Raúl Benavides: It is going to be completed before the end of year and by that time we will be rushing into prefeasibility as soon as possible.
Tanya Jakusconek: Okay, and then last question before I hand it to someone else, what about Trapiche, you said you started the prefeasibility stage, it is doing the baseline for permitting, etc, when is that going to be available for the market, when are you going to finish that?
Victor Gobitz: Tanya, let me take the advantage that here is our VP of Sustainbility. In the case of Trapiche one of the key aspects is social relationship. Alejandro Hermoza, go ahead.
Alejandro Hermoza: Hi, Tanya, good morning. Just to give you a quick update on the social issues, with Trapiche we are currently conducting a negotiation for the work reaching an agreement with the committee to solve some pending issues we have with them that will secure us, things like road access to the project, some issues related to land usage with cattle [ph] from the community. Some benefit related to local employment of local services and we expect to have to be reaching an agreement, a full agreement probably before the end of the semester. So we have -- with that we can have that cleared to go ahead with the on field activities for the project.
Victor Gobitz: And regarding the clinical aspect we are more comfortable but here Raul will update this information.
Raúl Benavides: Yes. Well, essentially as mentioned by Victor we're doing a number of tradeoffs styling in order to define the project size. One issue is what is the optimum size and we need to be more clear about that. And we need to start the environmental baseline and reinforce the social relationship that Alejandro was telling you. The other issue is that we are promoting a road is the regional government that will give us a bedded access for the project. Today the access to Trapiche is a community road that has been good for this time as we need to have a better access for the project. And that's where we are and we should be done by the end of the year with the prefeasibility study.
Tanya Jakusconek: So will the prefeasibility be available at the end of the year?
Victor Gobitz: For sure.
Tanya Jakusconek: Okay, thank you. Good luck with everything.
Victor Gobitz: Thank you.
Operator: [Operator Instructions]. Our next question comes from the line of John Bridges with JP Morgan. Please proceed with your question.
John Bridges: Hi, good morning Victor and everybody. I don't know if I totally got the answer to the question from Botir on El Brocal and the breakdown of production. I get the message that you are being opportunistic and benefiting from the very low TCLCs on some products but how should we look forward for the rest of the year in terms of the mix of copper, lead, zinc, the mix of tonnes from the different -- through the different mills that sort of thing, can you give us a bit of guidance on that?
Victor Gobitz: Good morning John, thank you for that question. As I said in the case of El Brocal it is an asset with some flexibility. It has the open pit which produce zinc and lead concentrate and we have the underground mine which is Marcapunta. And we are taking advantage of prefeasibility and in this first quarter we increased the production coming from the open pit. In order to reduce the pressure to smooth this ramp up coming from the underground mines and taking advantage of the treatment charges, the commercial terms for the zinc and lead concentrate has been in favor of the producer, the mining producers. But clearly we keep in our -- because in the long term -- for the long term for the life of mine of El Brocal it makes sense to reinforce, to increase the production coming from the underground mine. So we keep in this program, in this expansion of Marcapunta in order to achieve in the last quarter of this year 13,000 tonnes per day we keep in that program but as I said we are taking advantage. And clearly if you see the numbers in terms of EBITDA, in terms of profitability that decision to start increasing the production from the open pit generated for El Brocal more profitability. But clearly it is more opportunistic decision. We are taking advantage of this shortage of time but keep in mind in the long-term we have to be an underground mine position.
John Bridges: Right, right, so you benefited from very low spots TCLCs on lead zinc from Tantahuatay [ph] and so it sounds if you have a teething problems with the underground, when do you think you're going to be able to switch more to the underground, is that going to be Q3 or is it Q4?
Victor Gobitz: Yeah, good point. In the last quarter John, in the last quarter we have to achieve that number, this goal, the 13% on…
John Bridges: Right, and so do you think it's going to be a steady progression to that from here or is there going to be a switchover at some point?
Victor Gobitz: No, we keep that with that problem John.
John Bridges: Okay, thank you guys. And best of luck.
Operator: Our next question is a follow-up question from the line of Thiago Ojea from Citigroup. Please proceed with your question.
Thiago Ojea: Hi, thanks again for taking my question. Just wanted to follow up, on Cerro Verde there was 200 million dividend payment. Can you give us a little bit more detail on the payment on the timing and what is the likelihood that further dividends would be paid yet this year? Thank you.
Victor Gobitz: Yeah, we have the advantage that our Chairman is here, Roque Benavides who will answer this question.
Roque Benavides: The policy of Buenaventura in terms of distributing dividend has been to distribute 30% of net income of the year per year. And in this respect we will continue with this policy. We discussed this at Board level yesterday. Essentially we have been distributing in early May and early November every year. And we will take obviously into account the dividends paid by Cerro Verde and probably we will receive some other dividends from Cerro Verde in the future. We have decided to continue with the policy of 20% and distributing this twice a year. So, in early November in the Board meeting of late October we will decide on the dividend paid and we will take into account this dividends that come from Cerro Verde.
Thiago Ojea: Thank you very much Roque, but do you have anything on what would be perhaps our future dividend payment from Cerro Verde yet this year and for next year 2019?
Roque Benavides: Well, that is for people to answer because essentially we consolidate shareholders but essentially Cerro Verde is generating a lot of cash and they are paying back their debt and we probably should be expecting some additional dividends. But we at this point in time we don't have an answer for that.
Thiago Ojea: I understand, thank you.
Operator: There are no further questions in the queue. I'd like to hand the call back over to Mr. Gobitz for closing comments.
Victor Gobitz: Okay, thank you. We would like to thank -- take advantage he is here Gonzalo Eyzaguirre, we would like to thank Gonzalo Eyzaguirre for the important contribution he had made while at Buenaventura. And so [indiscernible] Gonzalo has decided to continue his professional career abroad. And thank you everyone for joining our call this morning. Our Buenaventura team, we are committed to reach the 2018 target in terms of production and profitability. And in addition to develop the full potential of our existing assets for debottlenecking program. And also to implement the discipline process for value generation through the development of our portfolio of Greenfield projects. Thank you again and have a great day.
Operator: Ladies and gentlemen this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.